Operator: Good morning and welcome to the Loma Negra Third Quarter 2019 Conference Call and Webcast. [Operator Instructions] Please note that this event is being recorded. 
 I would now like to turn the conference over to Mr. Gastón Pinnel, Head of IR. Please go ahead. 
Gastón Pinnel: Thank you. Hi, good morning. Thank you for joining us today. We appreciate your participation in this conference call. By now, everyone should have access to our earnings press release and today's call's presentation, both of which were distributed yesterday after market close. 
 Speaking during today's call will be Sergio Faifman, our CEO and Vice President of the Board of Directors; and our CFO, Marcos Gradin. Both will be available for the Q&A session right after the presentation. 
 Before we begin, I would like to make the following safe harbor statements. Today's call will contain forward-looking statements, and I refer you to the forward-looking statements section of our earnings release and recent filings with the SEC. We assume no obligation to update or revise any forward-looking statements to reflect new or changed events or circumstances. 
 Now I would like to turn the call over to our CEO, Sergio Faifman. 
Sergio Faifman: Thank you, Gastón. Hello, everyone, and thank you for showing up today. I am pleased to welcome you again to Loma Negro Third Quarter 2019 Earnings Conference Call. We will begin our presentation with a discussion of the highlights of the quarter, and then Marcos will take you through our market review and financial results. Afterwards, I will share some thoughts for the remainder of the year. Finally, we will open the call to your questions. 
 Starting with Slide 3. We ended the quarter with another solid set of results amid a challenging context. The unexpected results in the August primary election lead to high financial economic volatility that eroded the incipient recovery previously observed in some of the macroeconomic variables. The peso depreciated sharply and inflation started again, affecting overall activity  levels and the already weak growth expectation. In this line, our cement demand dropped by 7.5% in a year-on-year basis. As the major infrastructure public works completed, consumption slowed down or even put on hold probably until the economic landscape become more foreseeable. 
 Our EBITDA grew by 2.7%, with margin expansion of 289 basis points as we were able to control our costs and start capturing benefits from previous efficiency initiative. During the quarter, we continued with our effort to streamlining our production footprint, and this is the reason why we have converted the San Juan facility into a branding and distribution center. In this quarter, we achieved an adjusted EBITDA of $52 million. And when excluding the nonrecurrent costs, the EBITDA reached $53 million, almost equal to the third quarter last year. 
 The expansion of our L´Amalí plant continues on track as it's a key element of our long-term strategy and will contribute to our production efficiency and profitability. The kick-in date is expected to be at the end of the second quarter next year. 
 Finally, our strong balance sheet should enable us to work through a more complex financial environment in Argentina. 
 I will now turn the call to Marcos Gradin. Please Marcos, go ahead. 
Marcos Isabelino Gradin: Thank you, Sergio. Good day, everyone. Turning to Slide 4. Let me start by providing a quick overview of the macro environment and industry trends in Argentina. 
 The rather unforeseen mid-August primary election outcome impact a few incipient signs of stabilization that we have observed in previous months. The higher financial and political uncertainty during the period triggered a sharp peso depreciation and higher-than-expected inflation level, both impacting the economy in general and the construction activity in particular. 
 During this quarter, the cement industry declined by a rate of 2.9% year-on-year. On a sequential basis, the third quarter  surged by almost 9.5% compared to the second quarter this year, but mostly explained by the seasonality effect in our industry. 
 Taking a closer look at the cement demand. Unlike with previous quarter, the bag segment declined less than the bulk segment. Bag segment declined by 2.4%, and bulk decreased by 3.2%. Consequently, the share of cement sold in bulk remained almost unchanged at 42% when compared with the same period 1 year ago. 
 Looking towards the last part of the year, we expect the industry to continue suffering from a weak economy and a high volatility environment. In this line, economy downgraded GDP growth expectation for 2019 to minus 3% from our previous level of 1.4%. 
 Additionally, economy's expectation for 2020 also deteriorated drastically, from an expansion of 2.2% to a contraction of 1.7%. 
 In this sense, at this moment, we choose to be more cautiously until the key guidelines are defined by the new administration. 
 Now please turn to Slide 5 for a review of our top line performance by segment. Revenues were down 7.6%. For the quarter, Cement revenues dropped by 4%, impacted by sales volume drop of 7.5% and partially compensated by real-term price increases. In Paraguay, revenues were down 1.7% with volumes declining 1.1%, affected by a slower-than-expected public works execution and, in part, offset by the private sector demand. Prices remain practically unchanged. 
 Concrete segment presented a decline of 37.7% in revenues as both sales, volumes and prices were down when compared to the strong third quarter in the year-ago period. Several large infrastructure projects that have commenced in recent years were in completion phase. And during this year, other new large projects were either slowed down or even put on hold. 
 For the Railroad segment, construction volume transported contributed positively to revenues. However, it was not enough to compensate the drop in building materials and chemical volumes, resulting in a total decline of 9.4%. By contrast, Aggregates revenues were up 2% year-on-year during the period, driven by improving volume. 
 Moving on to Slide 6. Consolidated gross profit for the quarter was up 7.3% year-on-year, with a margin expansion of 368 basis points, reaching 26.6% in the quarter, reflecting the production costs were under control and the benefits from the footprint adequacy efforts achieved in the second quarter this year. Nonrecurring costs related to reconverting San Juan accounted approximately to ARS 61 million or $1.2 million. If excluded, gross profit would have grown by 10% with margin expansion of 435 basis points to 27.2%. SG&A expenses as a percentage of revenues decreased by 22 basis points to 6.6%, positively impacted by commercial and administrative structure adequacy measures previously adopted in first quarter of 2019, together with a further reduction in the effective sales tax rate. 
 Please turn to Slide 7. Despite the softer demand, we reached consolidated adjusted EBITDA growth of 2.7% in the quarter, over ARS 2.6 billion or $52 million with margin expanding 289 basis points to 28.8%, mainly driven by Cement and further supported by growth in Railroad. Excluding the nonrecurring charges, the EBITDA margin would have been 29.5%, reaching USD 53 million as in the same period 1 year ago. 
 When excluding the application of inflation accounting, adjusted EBITDA for the Cement segment in Argentina increased 52% year-on-year. And the margin expanded by 90 basis points to 31% and excluding the nonrecurring cost, would have been 31.8%. 
 Likewise, Paraguay posted around 57% growth in adjusted EBITDA, with a margin of more than 45%, improving 156 basis points compared to third quarter 2018. 
 Our Concrete segment reported an increase in adjusted EBITDA, reaching ARS 47.8 million, with a margin expansion of 73 basis points from 4.1% to 4.8%, as we adopted the productivity structure to the new demand level. We continue to post margin expansion in our Railroad segment, with adjusted EBITDA margin up more than 357 basis points year-on-year to 14.5% as a result of structure adequacy efforts. Aggregates segment adjusted EBITDA margin reached 4.1%. Our Cement business in Argentina remained relatively stable situation in terms of recurrent EBITDA per ton measured in U.S. dollars, around $28 per ton, 7% over the year-ago quarter. 
 Please turn to Slide 8. Net majority income for the quarter reached ARS 50 million. Total final results presented a loss of ARS 1.6 billion compared to a loss of ARS 1.4 billion in the third quarter last year. The FX depreciation resulted in a foreign exchange loss of ARS 1.5 billion or ARS 200 million higher than a year ago. The current interest rate environment resulted in a higher net financial expense of ARS 34 million. The net positive monetary position resulted in a gain of ARS 276 million. 
 Moving on to the balance sheet. As you can see on Slide 9, our balance sheet enabled us to move ahead with our meaningful investment plan. We continue to make progress in our capital expenditure plan with investment for the quarter reaching ARS 3.1 billion or approximately USD 59 million. We finished this quarter with a net debt to adjusted EBITDA ratio of 0.87x compared to 0.43x at the beginning of this year. Our net debt at the end of the quarter was USD 157 million, with a gross debt breakdown by currency of 47% in third currency, 28% in guarani and 26% in Argentine pesos. 
 I will now hand the call back to Sergio. 
Sergio Faifman: Thank you, Marcos. Now please turn to Slide 10. To wrap up this presentation, I would like to leave you a few key messages. 
 Looking forward, the political transition seem to be evolving in an orderly way. And now the key factor will be the policies that the new administration is going to adopt in order to restore the financial stability and economic growth. Under this context, we are pleased to continue delivering strong results on the back of our history, leadership and determination in the search for greater productivity. 
 We keep executing on our immediate priorities. In this line, of this third quarter, we put our effort in further streamlining our production footprint in the Cuyo region by reconverting our San Juan plant into branding and distribution center. The L´Amalí plant expansion is part of this strategy and will allow us to continue increasing production efficiency and profitability that we will us thrive in the future. 
 This is the end of our prepared remarks. We are now ready to take questions. Operator, please open the call for questions. 
Operator: [Operator Instructions] Our first question comes from Eric Neguelouart with Bank of America. 
Eric Neguelouart: I'd like to know if there's more visibility in terms of actual infrastructure spending during Fernandez administration. Has he been vocal about his plans? And how do you see 2020 coming on after this? 
Sergio Faifman: [Foreign Language] 
Gastón Pinnel: [Interpreted] Thank you for your question. So far, what we have heard from Alberto Fernandez due to these measures are towards -- to incentivize the consumption and regarding the construction, a housing plan that they are to put in place. So regarding other measures concerning infrastructure, we do not have additional information. 
Operator: Our next question comes from Alejandra Obregon with Morgan Stanley. 
Alejandra Obregon: I just have one on the cost side. So just wondering if you could help us understand how should we think of the footprint and equity program going forward and in that same line, whether there are some nonrecurring costs that we should consider for the next quarters. 
Sergio Faifman: [Foreign Language] 
Gastón Pinnel: [Interpreted] Alejandra, thank you for your question. For the next quarter, we are not expecting any nonrecurring cost. And for the rest of the year, we do not foresee any further footprint adequacy so the costs should be similar than the previous quarters. 
Alejandra Obregon: Very helpful. And just a follow-up, if I may. I think you mentioned earlier how bulk and bag were performing. Could you please repeat that for me? I wasn't sure I got that right. And if you could kind of elaborate how is that performing going into the fourth quarter, that would be very helpful. 
Sergio Faifman: [Foreign Language] 
Gastón Pinnel: [Interpreted] In the third quarter, what we observed is that bulk decreased slightly higher than the bag. This has to do that some of the infrastructure plan got to completion phase; and on the other hand, a slight ramp-up in the consumption. So until we  don't -- have new measures from the new administration, we expect this trend to continue. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back to Gastón Pinnel for closing remarks. 
Gastón Pinnel: Thank you for joining us today. We appreciate your interest in our company, and we look forward to meeting more of you over the coming months and providing financial and business updates next quarter. In the meantime, the team remains available to answer any questions that you may have. And again, thank you very much. For the rest -- and enjoy the rest of your day. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.